Operator: Good day everyone and welcome to the Eastman Kodak Fourth Quarter 2006 Sales and Earnings Call. Today's conference is being recorded. At this time for opening remarks and introductions, I'd like to turn the conference over to the Director and Vice President of Investor Relations, Mr. Don Flick. Please go ahead sir.
Don Flick: Good morning, and welcome to our discussion of fourth quarter earnings. I'm here this morning with Antonio Perez, Kodak's Chairman and CEO, as well as our Chief Financial Officer, Frank Sklarsky. Antonio will begin this morning with his observations on the quarter, and then Frank will provide a review of the quarterly financial performance. As usual, before we get started, I have some housekeeping activities to complete. First, certain statements during this conference call may be forward-looking in nature or forward-looking statements as defined in the United States Private Securities Litigation Reform Act of 1995. For example, references to expectations for the Company's R&D investment, margin improvement, the closing off and use of proceeds from the sale of the Health Group, successful monetization of intellectual property and the launch of new product categories are as such forward-looking statements. Actual results may differ from those expressed or implied in forward-looking statements. These forward-looking statements are subject to a number of important risk factors and uncertainties, which are fully enumerated in our press release this morning. Listeners are advised to read these important cautionary statements in their entirety. Also, although Kodak has significantly reduced its references to non-GAAP measures, in those instances where they are used, they are fully reconciled to the nearest GAAP equivalent in the documentation released this morning, which can also be found on our website. Lastly as a definitional note, we have a minor change in terminology and that we are replacing the term 'investable cash' with the equivalent term 'net cash generation'. Now, I would like to turn the conference call over to Antonio Perez.Antonio Perez: Thanks, Don. Good morning everyone and thank your for joining us for our discussion of fourth quarter earnings. I will start this morning with my thoughts on the full-year and the fourth quarter and then I turn it over to Frank for his financial summary. As you will recall, Frank joined us during the fourth quarter, our CFO, and is great to have him on board. Before I discuss the fourth quarter, I would like to reflect on the progress we made during the full year 2006. As I look back on the year's performance, I am extremely pleased with our results with one exception, which I'll discuss in a moment. On the positive side of the ledger for 2006, we came in on the top side of our expectations for net cash generation at $592 million versus a goal of $400 million to $600 million. Digital Earnings increased nearly five folds on a year-over-year basis, coming in at $343 million at the lower end of our aggressive target. We continue to have success with our intellectual property program, signing various agreements with Sony, Sony Ericsson and a number of others as planned throughout the year. I fully expect that we will continue to be at least this successful in IP activities for 2007 and for several years to come. Graphic Communications as planned reversed the previous year operating loss of $41 million, recording earnings in 2006 of $141 million, a year-over-year improvement of $182 million. No less impressively, Consumer Digital, which posted an operating loss of $131 million in 2005, reached breakeven for full year 2006, a $132 million year-over-year improvement in line with our expectations. On the M&A side, we successfully concluded the study of strategic alternatives for our Health Group with the signing of an agreement to divest the business to Onex, for up to $2.55 billion. Our CMOS Sensor business went from concept to revenue generation, as we began to build a meaningful business in this area during 2007. We made conclusive progress in our Inkjet program in 2006 and we are now poised to make major announcement in this area. As a result Consumer Digital will add this year two new major product categories, CMOS and Inkjet with significant margin opportunities as these businesses ramp up in volume. We also made significant progress on the cost side with SG&A reduced by $279 million year-over-year. We exited a major traditional manufacturing plant in France, chemical manufacturing operations in the UK and the US and more recently a logistics operation in Rochester. During 2006 our Film and Photofinishing Group succeeded in meeting their targeted operating margins of 8.6%, as well as their cash commitments to the company. This is superb performance in the face of a 22% revenue decrease for the year, which proves their ability to align cost as the revenue declines. And finally, as a further sign of how far along we have come in our transition, while 2005 was the first year when revenue from digital sources exceeded those from traditional sources, in 2006, we achieved another major milestone. Specifically, 2006 was the first year when the earnings growth from digital products exceeded the earnings decline from traditional products. As a result I feel very good about 2006 and I am very excited about our prospects for 2007. We have continued in each of the past three years of this Company's transformation to make very visible and significant progress against the important and challenging goals we set. The only meaningful shortfall against our expectations for the year was our lower than planned digital revenue growth. This was basically the result of enforcing our clearly stated objective to give priority to digital margin growth over revenue growth in our digital capture business that I announced to this audience on January 30, 2006. As the year progressed we saw more aggressive camera pricing, particularly at the lower price points that we had anticipated. As a result we walked away from some consumer Digital revenue in the fourth quarter and the year, where prices were too low or where we didn't have yet a product with the appropriate cost basis to compete. Also you may recall that we reduced the number of retailers in countries which are directly around the world, as we re-design our go-to-market model for better productivity. In the near term this had a negative impact on revenue as well. However, these were the correct decisions to make. They were an important factor in the turnaround in Consumer Digital earnings and will serve as well in the future. And overall I'm satisfied with the performance of our Digital portfolio of products. If you exclude the digital camera revenue that was affected by this one-time adjustment in the lower end segment, the rest of our digital portfolio achieved low double-digit growth year-over-year as per plan. As we entered 2007, the results of the previous year gave us a good foundation to work from, as we invest for profitable growth in consumer areas such as Inkjet, CMOS, the KODAK Gallery and Kiosks, as well as in Graphic Communications products and other attractive opportunities where we have work-in-progress. Let me now offer some comments, specific to our fourth quarter performance. In the Consumer Digital segment we remain in the top three worldwide for digital camera market share through November, the last month through which we have worldwide data, consistent with our stated goals. As far as the US market, the latest MPD group's market share data indicates that we have retained number one market share in the US for the fourth quarter and full year, even with our reduced revenue performance. We retained as well our number one share position in home printer docks. Our kiosks business showed excellent growth, with a 52% year-over-year increase in media burn volumes. And our EasyShare Gallery contributed 36% year-over-year revenue growth and benefited from the positive margin mix associated with holiday cards, photo books, and calendars among other items. Graphic Communications grew revenues 3% in the quarter, with good sales growth in digital plates, NexPress color presses, and workflow, while NexPress black & white printers and traditional products declined as expected. The Film and Photofinishing Group turned in strong operating margin performance in the fourth quarter, improving from 4% of revenue last year's fourth quarter to 8% of revenue in the current quarter. Nearly doubling the operating margin rate in the face of this 16% fourth quarter year-over-year revenue decline is clearly excellent performance. In distinct contract to the declining portion of the FPG portfolio, entertainment film revenues essentially held steady on a year-over-year basis. The Health Group in this quarter, in spite of Kodak's results from continuing operations, had a very satisfying quarterly performance. Healthcare information systems, digital capture, and digital dental, all experienced good growth while traditional radiography and digital output declined at their expected rate. The fourth quarter provided a very good end to a very good year. On February 8, a week from tomorrow, I will be in New York with my senior management team to review our strategic outlook. At that time, we will provide a more extensive review of our roadmap going forward, including new product introductions. Now, I'd like to turn the microphone over to Frank to continue our discussions on fourth quarter results. Frank?
Frank Sklarsky: Thanks, Antonio, and good morning everyone. I would like to spend some time discussing our fourth quarter financial results, and then Antonio and I would be happy to take your questions. As Antonio indicated, we were very pleased with our fourth quarter financial performance with the exception of digital revenues, where we made a conscious decision to forgo sales in selected product categories in the interest of focusing on improving overall digital profit margins. GAAP earnings per share from continuing operations for the fourth quarter was $0.06 compared to a GAAP loss per share of $0.48 in the fourth quarter of 2005. Current quarter results included items of expense, impacting comparability, totaling $152 million or $0.53 per share. The prior year fourth quarter included comparability items of expense totaling $1.02 per share. Of this year's items recorded in the fourth quarter, two were significant in nature. The first is a restructuring charge of $0.24, amounting to $82 million pre-tax or 69 million after-tax. The second is the recording of a valuation allowance against deferred tax assets of $0.31 or $89 million after-tax. Let me briefly explain the valuation allowance item associated with deferred tax assets. These assets reside in various international entities and the valuation allowances result from a number of factors, including cumulative loss positions, driven in part, by ongoing restructuring cost, along with operating results to-date. Recording of these allowances should not result in any near-term cash impact. And I would point out that we are not completely excluding the possibility, but these particular deferred tax assets may still be realizable sometime in the future. Moving on to some other key metrics. Fourth quarter consolidated revenue declined by 9% and included a 2% favorable exchange impact. Fourth quarter gross profit margin was 26.4% versus 23% last year, an improvement of 3.4 percentage points. A favorable year-over-year change reflects improved operating margins in the business segments, particularly within Consumer Digital. This was driven by the kiosk business, the KODAK GALLERY, and continued success from licensing arrangements. The company also benefited from lower levels of restructuring-related accelerated depreciation and inventory write-downs in the quarter, as well as manufacturing cost improvements, and the favorable exchange mentioned previously. Partially offsetting these factors were lower revenues in certain areas and approximately $45 million in adverse silver and aluminum price impacts on a year-over-year basis. SG&A for the quarter decreased $172 million or 22%, and declined as a percent of sales from 18.3% in the year ago period to 15.6% in the current quarter, reflecting cost reduction activities amplified by fourth quarter revenue seasonality. R&D costs totaled $170 million for the quarter versus 212 million in the fourth quarter of 2005, led by reductions in the traditional products area and continued rationalization of GCG's acquired businesses. If you look at the parts of the business that call for the most impactful R&D investments, namely, Consumer Digital and Graphic Communications, we are continuing to fund them at an annual rate of 5 to 6% of sales. We would also point out that going forward we intend to incur a prudent level of future R&D investments in order to drive our intellectual property portfolio along with continued product innovation. Our restructuring efforts continued throughout the quarter with fourth quarter pre-tax charges totaling $82 million or $69 million after-tax, as previously mentioned versus $295 million pre-tax in the year ago quarter. These charges included severance, accelerated depreciation, exit costs, and asset and inventory write-downs. The reduction from the prior year fourth quarter is driven in large part by the absence of certain severance costs and accelerated depreciation charges recorded in international entities in the 2005 period. For full year 2006, total pre-tax restructuring charges totaled $768 million compared with approximately $1.1 billion for 2005. The 2006 amount was lower than we had originally anticipated for the full year in addition to items impacting the reductions in the fourth quarter amounts mentioned previously. Certain other fourth quarter actions were retimed to 2007 for logistical and operational reasons and we achieved some pension related credits in certain areas that were greater than originally anticipated. Full year 2006 cash restructuring payments came in at approximately $550 million. Approximately, 1,200 positions were eliminated during the fourth quarter, bringing the program to-date total to approximately 23,400 positions. Consolidated fourth quarter GAAP earnings from operations were $222 million, an improvement of $393 million year-over-year as a result of lower restructuring charges for more importantly significantly improvements in the area of SG&A cost. We believe this earnings improvement validates the strategy of focusing on profitable revenue that has and will continue to yield enhanced margins over time. Fourth quarter Digital earnings from operations were $271 million, an improvement of $130 million from last year's fourth quarter, as a result of our focus during 2006 on improving Digital profit margins. From a full year perspective, we posted $343 million in digital earnings, a nearly five-fold improvement year-over-year, and close to the aggressive target we set for the year. The Consumer Digital Group posted earnings of $150 million in the fourth quarter, an improvement of $110 million from last year's fourth quarter, primarily as a result of improved performance from the KODAK GALLERY, the kiosk business, along with continuing contributions from licensing arrangements. The kiosk business improvement was driven by an increase in digital media volumes of 52% year-over-year. Fourth quarter Health Group earnings from operations were $86 million versus $87 million in the year ago quarter, despite the impact of unfavorable costs for silver and costs associated with its divestiture activities. Digital earnings in the Health Group remained unchanged at $58 million year-over-year despite a lower contribution from the digital output product portfolio, which continues to be impacted by increased silver costs and the growing industry shift to soft copy diagnosis. This decline was offset by improvements from digital capture, healthcare information systems, and digital dental products. The Graphic Communications Group posted strong fourth quarter earnings results by more than doubling their earnings from operations from $28 million to $57 million. Digital earnings in the Graphic Communications Group increased 18 million to 64 million in the fourth quarter, as a result of improvements from NexPress color presses and work flow on prepress solutions. The Commercial Inkjet Printing Solutions business showed steady performance despite comparisons to a very strong fourth quarter last year. Overall, GCG' quarterly operating margin improved to almost 6% from 3% in the year ago quarter, with Digital operating margin running at almost 8%. The FPG segment achieved an operating margin of 8% for the quarter versus 4% in the year ago quarter, despite revenue declines of 16%, as a result of strong cost reduction activities. And on a total company basis, traditional earnings for the quarter improved to $98 million compared to 57 million in the prior year quarter, an increase of 41 million or 72%. This was driven in large part by the strong performance in the Film and Photofinishing Group. The Other Income and Charges category had a negative year-over-year swing of $27 million, primarily due to fewer contributions from asset sales. Interest expense was 60 million in the quarter, a decrease of 7 million from the fourth quarter of last year, largely as a result of lower debt balances. Fourth quarter net cash generation, previously referred to as investable cash was $916 million, bringing full year net cash generation to 592 million, which is at the upper-end of the range we provided for the year. Inventory declined by approximately 270 million and trade receivables decreased 143 million. Capital expenditures for the year totaled $379 million, almost $100 million less than in 2005. Depreciation was 315 million in the current quarter versus 465 million in the year ago quarter, primarily driven by higher ongoing restructuring activities in 2005. We ended the year with almost $1.5 billion in cash on the balance sheet despite payments of approximately $550 million in restructuring cash and debt repayment of $805 million. We achieved our full year debt payment goal by paying $561 million of debt in the fourth quarter, which includes $542 million of our secured term debt. We recently announced plans, our plans to sell our Health Group to Onex for $2.35 billion in cash at closing, plus up to $200 million in additional future payments. The transaction is expected to close by mid-year, and we will initially use $1.15 billion of our anticipated proceeds to repay the remaining outstanding secured term debt. As Antonio mentioned, we will be in New York for an Investor Meeting on February 8, and I look forward to meeting many of you in person for the first time at that meeting. Thanks very much. And now Antonio and I will be happy to take your questions.
Operator: Thank you. (Operator Instructions). We'll take our first question from Jay Vleeschhouwer with Merrill Lynch.
Jay Vleeschhouwer - Merrill Lynch: Good morning. Antonio, I would like to ask you about the licensing business in Q4 that was a substantial part of the profitability of CDG, even more so better than the third quarter. I believe you said in your prepared remarks that you think the IP licensing could be similar in '07 as to '06 and the question is what gives you the basis for that expectation? I would think that IP licensing is somewhat unpredictable. Secondly, with respect to CDG, have you changed your priorities at all from '06, are you still predominantly margin focused or you are at the point now where you could begin to resume some more focus on driving growth? Then a follow-up, thanks.
Antonio Perez: Okay. Well first I didn't say -- I said that will be at least as good. So, actually I expect it to be better than that. Why do I say that? I've said few times before that these deals are very complex, because what we do as we look for a combination of things in these deals. Normally, it's a multiyear contribution that we receive, and the majority of deals that we make. There is some multiyear contribution that will come to Kodak. On top of that we have business relationships and supply agreements across the companies. We have co-design in certain cases. There's a variety of things that for competitive reasons we don't disclose. But to answer your point about why would I say that at least as good is because, since most of these deals have been signed already in the last few years, I know for fact, at least what I am going to get in 2007 and we have other prospects. I think the third part of the question was, did we change our strategy as far as growth? In the past I said that the first two years digital growth was mandatory for us to get to the scales necessary to be able to design with efficiency, purchase with efficiency, distribute with efficiency. We have those volumes. I said as well that the last two years of the transformation, we will be focusing more. It's not that we won't focus in Digital growth but we will be focusing more in Digital margins. And, part of that reason is because this second part of the transformation in the last two years which is only one left, we will introduce a series of new products they are based on Kodak technology that although they have a very high value creation embedded in the business model, they will have losses while they are ramping up volume. Therefore, it was very important for us to have a stable base to launch this product. I am not saying that we are not going for growth next year. We will go into more detail on the 8th, but we will start to getting growth from our digital businesses next year and we'll talk about it on the 8th.
Jay Vleeschhouwer - Merrill Lynch: And the follow-up is with respect to GCG, you had mid-teens growth in the Digital Pre-press area and I am wondering if you think that as a sustainable level of growth for that part of the business and do you expect that GCG as a proportion of the company, can and will continue to grow disproportionately, particularly given that it's gross margin structure, is several hundred basis points higher than that of consumer digital?
Antonio Perez: I will answer simply saying that the possibilities for growth for GCG next year are higher than the possibilities for growth in Consumer Digital, given the status of both portfolios. But yes, they have opportunities for growth in many areas.
Jay Vleeschhouwer - Merrill Lynch: Thanks, Antonio.
Antonio Perez: Thank you.
Operator: We'll take our next question from Matt Troy with Citigroup.
Matt Troy - Citigroup: Good morning, I had a question first on the Film business, and Antonio your thought process there. You've now realigned those businesses under a more streamlined operating structure under a single umbrella. I think certainly proven, you've been able to make difficult decisions in terms of moving the camera business to Flex, moving the health business to Onyx. If film is going in one direction I guess--
Antonio Perez: Matt, we didn't move the camera business to Flex. The camera business is a Kodak business.
Matt Troy - Citigroup: Okay. So, are you reversing your call earlier in the year that you would partner with them and move that business to them?
Antonio Perez: You mean that we partner with Flex, yes. We didn't move the camera business to Flex, we partnered with Flex.
Matt Troy - Citigroup: They are going to make the cameras, right?
Antonio Perez: No, we design the cameras. We make key elements of the cameras. They complete the cameras and then we sell the cameras.
Matt Troy - Citigroup: Alright, I fully understand that. My point is you are making some good--
Antonio Perez: The whole industry does that Matt. The whole industry does that.
Matt Troy - Citigroup: Right. And, half your business was that or roughly thereabouts before. So, again I think it's the right decision. My question is, since you are making those tough decisions, if films going in one direction, and arguably long-term, there may be only needs to be one person making film. Is film a business that you need to be in? If I think about your thought process, it's a very strong cash flow return business, I realize. But I think about the options, outright sale, contract manufacturing are continuing to wind the business down, how you think about the film business over the next three to five years? If there is going to one man standing does it need to be Kodak. And then I have a follow-up.
Antonio Perez: They are all good options, the ones that you mentioned, Matt. I mean we look at every business constantly to see what is the best way for us to manage those businesses; whether we should keep within ourselves or whether we should partner. So you mentioned few options, those options are in front of us and right now the business, the first thing we needed to do was to get the cost structure in align with the revenue decline. I think we have proven that we knew how to do it in, and it's performing very well. We would keep watching the development of these businesses, and there we will take, we will make decisions that will lead to the best volume for our shareholders. We don't exclude any of the options that you mention there. We have not made any decision on any either.
Matt Troy - Citigroup: Okay. Then on the GCG side, certainly the progress with NexPress is impressive. One of the questions I think I ask every quarter, or every other quarter is product breadth is obviously a focus, relative to Xerox, some other folks out there. They are making concentrated bets in this segment. If I think about billed versus buy, if you could just help me in terms of your thought process around the digital press technology; can you move page fees up and down in house or might you seek to partner with someone like Cannon or Konica or a Japanese OEM to expand that portfolio later into '07. Thanks.
Antonio Perez: Full agreement with you there, we need to expand the portfolio. We've been trying to have being easy -- an easy thing to do. At this point of time we have partnerships plan that will help us to do that. We're not quite there yet, but the preferred path for us will be of partnership.
Matt Troy - Citigroup: Okay. Thank you.
Operator: We'll go next to Jack Kelly with Goldman Sachs.
Jack Kelly - Goldman Sachs: Good morning. Antonio just looking at CDG, if we look at revenues in the fourth quarter they were down 25%. You had indicated earlier that Kodak made a conscious decision to not participate in certain portions of the market. Should we conclude then that all of that 25% was due to that decision? Or can you share with us what the market might have declined? So what I'm trying to discern is, 25% down in revs, how much because of your decision versus what happened to the market in the fourth quarter?
Antonio Perez: Most of it, I think -- most of it was our own decision and it was our choice. Either we didn't have the right cost for the product to participate in those very low prices or the prices were so low that we wouldn't participate in any case. We still have as an objective to be one of the top three suppliers, so which we watch very carefully and we think we can. We think we have the technology to ramp out the distribution and the product portfolio to do so. We just have to manage carefully the earnings, because although this is a great enabler for the company, it's very important for our CMOS strategy, is very important for our printing strategy. It is very important for all sorts of relationships that we have in the market. We know that the margins of digital camera will never going to be huge, but what we're trying to do is balancing the -- being a strong participant in certain segments of our market, because it is important for all the other things that I said, and at the same time, increase the margins from where we were last year and the year before. This is the plan we have. I look at this action last year as a one-time deal. I don't expect -- we will talk on the 8th about this, but I don't expect similar results as far as the decline next year. We will talk in detail about the size of the market and what we expect to do. But it won't be anything even close to what we've done this year.
Jack Kelly - Goldman Sachs: But the -- axing out your own actions and the impact on revenues, you're basically saying that market for digital capture products was down in the fourth quarter, and looking out to '07, do you see any change in that -- in the underlying?
Antonio Perez: I am not sure that's the case. I mean you're talking about revenues or units?
Jack Kelly - Goldman Sachs: No, I am just -- well, I am talking about revenues and/or units, but you did disclose the revenue numbers, so that's -- the 25% decline. Was that all of you or was the market weak, and if the market was weak, how does that play out in '07?
Antonio Perez: The best understanding that we have, the data of the market is coming little by little now, so I don't know that we have all that data that you -- that I will need to answer your questions precisely. But, I believe the most of that decline was caused us, by our decisions. We believe that the market grew about -- overall about 11% for the year. That's the best data we have.
Jack Kelly - Goldman Sachs: Okay, okay.
Antonio Perez: So, and this is -- it was caused by our decision, which by the way, I would like to remind everybody that this issue was taken on January 30, 2006, and the reason why we took that decision is that the actual results of the industry during the 2005 holiday season were not as good as anybody in the industry thought they were going to be, and we could smell at the time that this increased pressure in price was going to happen over the year because it was going to be a lot of inventory and therefore -- especially in the low-end this was going to happen. That's why we took the decisions so early.
Jack Kelly - Goldman Sachs: Okay. And then just moving over to gross profits for CDG, it rose $76 million fourth quarter-over-fourth quarter, based on the discussion you had in the MD&A, it appears that about 66 million of that came from incremental licensing revenues. And so, I really -- assuming those numbers are right, the thrust of question is, it doesn't look like the underlying profitability of the business ex-licensing improved a lot and just…
Antonio Perez: Well, I think the -- I don't know what you call the underlying. For me, the IP revenues and the IP profits are part of the businesses. It is way we decide to use our IP portfolio. You can understand that you can use your IP portfolio to stop people participating, which is, don't think is a wise thing to do or you can -- which obviously will help you with your profit margins or the logical thing to do and that's what the industry does is you get on an agreement with those companies and you find a mutually beneficial deal. The same patterns and the same investment that was put into developing of those patterns is investment that now you charge on the cost of the digital cameras, and it's not fair to say that IP doesn't count. I mean IT -- I mean ideally you should put all these costs associated with R&D across everything that you get from that R&D, including IT, of course, because with certain costs in the past you can do that in and the industry reports this way. But, for me this is part of the business. This is an integral part of the business and that's why specifically I put a note in my comments today that we expect to get at least the same in 2007 and for the years to come.
Jack Kelly - Goldman Sachs: Well, it's not -- it definitely counts because it's real, but the point is that everything else in that group in terms of products, don't look like fourth quarter-over-fourth quarter, the earnings improved, and so that's really the thrust of question, it's not dismissing the IT, it's there.
Antonio Perez: Well.
Jack Kelly - Goldman Sachs: It just isn't like the, and I'd say underlying -- the product revenues or the product profitability don't -- doesn't look like it ticked up much.
Antonio Perez: I -- we did mentioned that improvement -- a clear improvement in kiosks, a clear improvement in Gallery. So, I don't know -- I don't think your statement is correct.
Jack Kelly - Goldman Sachs: Okay. And just on the traditional side where the performance was traditional, Film and Photofinishing, where the performance was pretty impressive with 8.6% margin. The question is, Antonio, do you think from this point on that even with revenues declining there, you can improve margins, so that we're going to continue to get a positive earnings performance even though the revenues continue to tail off?
Antonio Perez: That's what we are going to try, and if we cannot achieve that, then we will look for another alternative.
Jack Kelly - Goldman Sachs: Which should be cutting costs? Okay. And just finally--
Antonio Perez: No, no, not just cutting costs. There will be other ways to dispose off the business or do something else. If the business is not sustainable for our shareholders, we will find ways to deal with it.
Jack Kelly - Goldman Sachs: Do you actually sell at some point, if it didn't, if you couldn't get decent profitability, say with Film and Photofinishing this year?
Antonio Perez: Yes, now, what we know as of today is that business has been improving year-over-year. We have great performance. We are very happy with the business. We are looking at this year with similar performance, and then we will be seeing how the industry evolves? How big are the declines? What happens with the raw materials? How many people remain in that business [supply]? And there are a lot of elements that can influence this.
Jack Kelly - Goldman Sachs: Okay. And just finally--
Antonio Perez: [Canon], and by the way, remember that the biggest part of their business is EI and that was steady again at last year and the year before and the year before.
Jack Kelly - Goldman Sachs: Yes, entertainment, yes, got it. And just finally, last year this time you offered your estimate of what digital -- total digital profits for the company would be which was the 350 to 400 number. You did the 343 this year, what would be a good range for '07 for total digital profits?
Antonio Perez: We will do that in the '8th. We will keep improving, but let me wait until the 8th to get into that conversation. I could explain better why the numbers
Jack Kelly - Goldman Sachs: Okay.
Antonio Perez: And I will do that.
Jack Kelly - Goldman Sachs: Great, thank you.
Antonio Perez: Thank you.
Operator: (Operator Instructions). We'll go next to Jake Keaveny with Morgan Stanley.
Jake Keaveny - Morgan Stanley: Hi, good afternoon. Could it be possible for you to outline your cash priorities for 2007 seen as pro forma for the sale in the Health business, you're going to have a very large cash position and assuming the large cash restructurings go away in '07, your free cash flow should be better than it was in ‘06?
Antonio Perez: Okay. Few points in '07, the restructuring cash will not go away. 2008 will, but not in 2007. 2007 is the last year of the restructuring. Taking as much as we would like to, I'd like to have my hands in that cash. We don't have it yet. The deal has to be closed. We think it's going to be closed sometime in the first half. When that will be closed, we will know for sure that we will spend about 1.2, 1.15 to pay debt. In the rest, we have a variety of options, that need to be discussed with the Board and I don't have an answer for you yet.
Jake Keaveny - Morgan Stanley: Okay. And would it be possible to give us some sense of what do you think investable cash flow or what you now call net cash generation will be in '07?
Antonio Perez: On the 8th, again we'll talk to that. We won't have the time -- if I give you a number now, I won't have the time to explain why we reached that number, then why we have the 200, 300 million on the 8th. We'll do a much better job at that time.
Jake Keaveny - Morgan Stanley: Okay, I'll try it. Thank you.
Antonio Perez: Thank you.
Operator: We'll take our next question from Carol Sabbagha with Lehman Brothers.
Carol Sabbagha - Lehman Brothers: Thanks. A couple of questions, going back to the cost cutting, which significantly showed through this quarter, what was the inflection point or what happened this quarter that finally allowed this significant cost cutting that you've been doing to show through the results in such a big fashion?
Antonio Perez: Carol, there has been so many things that we've been touching. I don't know that I can point at one that is an inflection point. When you start with this restructuring, which has been so long for three years already, there are things that appear the moment you make the announcement in order to keep coming along. It's like the stream of things that come along. And then a building gets empty as completely and then something else come as a bunch. I can't point out a one thing that happened this quarter that was different than anything else. Maybe I don't know -- maybe the fact that this is a high revenue quarter then you see the SG&A asset percentage of revenue lower, but when you look year-over-year, we've been reducing SG&A every single year.
Carol Sabbagha - Lehman Brothers: Okay.
Antonio Perez: I don't know, Frank do you have anything else?
Frank Sklarsky: Yes. I mean you've got a full run rate during the quarter and a partnership with Flextronics and CDG. You've got G&A and footprint full quarter impact and some actions in FPG and you have some improvements in the rate of rationalization of GCG. So across the board, a lot of things are picking up steam in fourth quarter impact.
Carol Sabbagha - Lehman Brothers: Okay. Great, thank you. Couple of my questions, I mean, you've always talked about or the company has always talked about considering different options for all the businesses. You've got the question from Matt about the film business. When you talk about potentially considering other options, is Photofinishing part of that discussion or now that we're going to move Photofinishing into CDG but you believe that's core to the future digital profitability of the company?
Antonio Perez: No, we think Photofinishing is an integral part of our future Carol. There might be different technologies outplay, there might be different business model, but we think retail is a crucial destination for customers when it comes to photographic products and that we don't have any plans to abandon that.
Carol Sabbagha - Lehman Brothers: Okay. And my last question is on the Graphics business. Revenues came in better than expected. But if I look at the breakout between the US and International, it seems like International did really well but the US was weak down, I think 10%, if my memory serves me. What were the dynamics there that led to that divergence of performance?
Antonio Perez: I think it's normally like that Carol. We always had a better business in place Internationally than we had in the US and our presence in some of the digital printing as well is stronger Internationally. We keep growing our presence in the US, but I think we always -- a balance of that business has been always favorable to International versus the US. I don't, I can't point at any issue that we have in the US, it's just keep growing the business, whatever we have in both sides of the ocean.
Carol Sabbagha - Lehman Brothers: Okay, thank you.
Operator: We'll take our next question from Ulysses Yannas with Buckman, Buckman & Reid.
Ulysses Yannas - Buckman, Buckman & Reid: Antonio, the rate of decline in Film and Photofinishing, it seems to be going down. What do you attribute to that on?
Antonio Perez: It is a hard question Ulysses, I wish I'll know the answer to if that decline is going to slowdown more or not. It's really hard to know. We need to track that quarter-by-quarter. We still think it's going to go -- it's going to continue to go down. There is this theory, that one day it will stop going down and we don't put that in our numbers. In our plan of record, we continue to assume that Film based products, I'm not talking about paper, but film based products will continue to go down significantly still. There might be a time when that will slowdown, but it's not going to be within the next two years, we don't think. What's happening with paper though, silver halide paper, as part of the Minilabs, it's actually a very competitive printing technology for the midsize volumes that are necessary in retail. That is the reason why we are moving paper to CDG next year because its -- and in fact it has become part of the digital workflow. You might go to retail and one hour Minilab and print your pictures, take your pictures from your digital camera, but they will be printed with a silver halide paper because there is the opportunity to do so and it's very competitive. So, we believe the paper is going to remain there for much longer, because there is no other media marking technology today that could compete efficiently with the cost and the quality of silver halide. Therefore paper, we have hopes for much longer life. Film, so far we continue to believe is going to go down and we will plan for it.
Ulysses Yannas - Buckman, Buckman & Reid: On another subject [fair bit] to find, you had in the other category a loss of $214 million, $71 million in the fourth quarter. Can you give us some idea as to what percentage of these losses are created by your Inkjet project?
Antonio Perez: A lot, will that help?
Ulysses Yannas - Buckman, Buckman & Reid: A lot, meaning more than 50%.
Antonio Perez: It's a lot, Ulysses it's a lot, but --
Ulysses Yannas - Buckman, Buckman & Reid: What are the other components, you had all lead in there, yes but it can't be as big as the Inkjet project, then you have anything else?
Antonio Perez: Lead actually -- some of it is paid by itself because of the licenses that we have.
Ulysses Yannas - Buckman, Buckman & Reid: Yes.
Antonio Perez: So the licensees pay for some of their own investment. The majority is Inkjet and we will have news of our Inkjet on February 8.
Ulysses Yannas - Buckman, Buckman & Reid: So, in theory as you move from development to marketing of the Inkjet projects, these losses should start declining, don't you think?
Antonio Perez: Well yes and no. In the Inkjet business you still to have to build your installed base for a while. So, of course you're going to get revenues and that will help. But you're still going to have losses. But you get revenues and that's --
Ulysses Yannas - Buckman, Buckman & Reid: That's a question of degree of magnitude, that's what I was wondering.
Antonio Perez: Yes, your statement is correct in principle, yes.
Ulysses Yannas - Buckman, Buckman & Reid: Finally, and I hate to keep you that long, Shutterfly is talking of gross margins at their online business of 56%. They are smaller than you are, considerably smaller. So, in theory your gross margin should be at those levels, shouldn't they?
Antonio Perez: The Kodak Gallery is a great business for the fourth quarter. We made good money in the fourth quarter because of the volumes. We have to get with a Kodak Gallery is raise the volumes a little more during the rest of the year and we'll have a great business in our hands and that's what we're doing, we keep growing and we'll get there.
Ulysses Yannas - Buckman, Buckman & Reid: How about charging for storage?
Antonio Perez: We actually do have programs that charge for storage and I would like you to join one of the premium --
Ulysses Yannas - Buckman, Buckman & Reid: I thought you abandoned them.
Antonio Perez: I would like you to join one of the premium packages. I think you should sign for that.
Ulysses Yannas - Buckman, Buckman & Reid: I had signed for it but they are not charging me anymore.
Antonio Perez: They are charging, I am going to take care that they charge you now. It's not much, it's like $24 a year but you get incredible benefits out of it. It's just the adoption rate is low for those things.
Ulysses Yannas - Buckman, Buckman & Reid: Have you considered doing it a bit differently?
Antonio Perez: Yes we do. We've --
Ulysses Yannas - Buckman, Buckman & Reid: Meaning based on the volume of storage rather then a flat fee for storage?
Antonio Perez: We have all sorts of options that we tried in focus groups and in small communities, and we keep trying, yes, we have a variety of them. Some are based on the view you said, certain usage you don't pay anything. [Or there is] as you're allowed advertising you don't pay anything at this. We keep testing with, in small communities different ideas. In the mean time we're just building up the base which is the most important thing.
Ulysses Yannas - Buckman, Buckman & Reid: Your base is now 50 million or more?
Antonio Perez: It is more, it's a little more than that -- it's more than that.
Ulysses Yannas - Buckman, Buckman & Reid: Thank you very much and apologize for taking so much of your time.
Antonio Perez: It's okay. Thank you.
Operator: We'll go next to Shannon Cross with Cross Research.
Shannon Cross - Cross Research: Hi, good morning.
Antonio Perez: Good morning Shannon.
Shannon Cross - Cross Research: Just have one clarification and I have not been in the IP, that's why I don't know whether or not we should include it. All I am trying to find our here is, when you say that you expect IP to be up in '07 versus '06, you have I think $315 million in non-recurring IP license revenue in 2006. Are you saying that basically the recurring which we don't know because you don't breakout, plus the 315 will be up in '07 or are you saying--
Antonio Perez: I think that number was cash, Shannon, if I recall well. Do you -- did you say revenue?
Shannon Cross - Cross Research: We'll I am sorry, I meant, however you want to look at it, what I am trying to figure out, I am taking any data that you guys have given us. So, if we think about from a cash standpoint?
Antonio Perez: Yes. Okay, let me give me the best again. First of all Shannon, its not that we don't want to high these numbers, okay. We would love to go as much, we're very proud of our IP program, and I think we should. It shows that we have a very valuable asset. We are building relationship with very serious companies and there are certain ways in which these deals are made. And so, I am not at liberty to share data that may be you would like to have. What I was trying to say, no matter how you read the IP program that we had in 2006, my expectation is to be at least like that in 2007. So, whatever conclusions you get from the data, from the proxy, from whatever it is, whatever conclusions you get from that, you can assume that it is going to be above the same in 2007, and you will be fine.
Shannon Cross - Cross Research: Okay. I guess people are just trying to figure out what is recurring versus what's one time because onetime is more or like assets.
Antonio Perez: This is because the deals that get published with names are only caused because, if you have legal case then you have publish the name of the company. But we had deals with many more than those two companies that they were published.
Shannon Cross - Cross Research: Okay.
Antonio Perez: And out of all of those deals that we have, the majority, as I said 80%, 85% of them are multiyear deals. They are recurring in some shape or form whether its cash or revenue, and then the other 20% of the deals that are concluded and they are non-recurring, approximately.
Shannon Cross - Cross Research: Can you tell us what you ended the year with in terms of differed revenue from licensing?
Antonio Perez: No, we don't do that, Shannon.
Shannon Cross - Cross Research: You don't put it in the 10-K, right, because it was last year?
Antonio Perez: You can probably figure out in the year when you--
Shannon Cross - Cross Research: No, it was probably quite sure, I'm just verifying that--
Antonio Perez: Yes, I know. On the 10-K, you probably gave your best analogy. So of the deferred revenue that we get from this deal and I think it will be a pretty clear view of it.
Shannon Cross - Cross Research: Okay. My other question is just with regard to entertainment film, obviously Eric left, I'm just curious what your thoughts are in terms of that business, flat this year or flat this quarter, but how are you going to continue to drive the business since Eric's gone and how comfortable can we feel with the management team that's in place? Just any update because you really haven't talked about it since he left?
Antonio Perez: I still think it's a wonderful business, Shannon. I think obviously I know that Digital will come one day and it will take first a portion and then more. But for many reasons, I believe that this is a very valuable business for us, and we are going to manage this year exactly as we managed in 2006. Are looking at what our options we have? We are always looking at options that we have for their business and for any other one. And we will be watching the key players in this market. The producers, the studio, the technology, and then what, we'll judge if there is any imminent risk to the business and what is that we should do about. We don't see it like that today, contrary to many other things that you read in the generic press. And the proof is that we've been dealing with this issue since I came year here three years and the truth is nothing has happened. The business continues to be very stable, very profitable, it is a great business. As far as the management team, Mary Jane Hellyar is an incredible leader of this company. She used to work in R&D. She worked with all different businesses in the company. She is a phenomenal leader and I think she is the right person to run this job.
Shannon Cross - Cross Research: Okay, thank you.
Antonio Perez: Thank you.
Operator: And ladies and gentlemen, we have time for one final question today. It comes from William [Deitrick] with Citigroup.
William Deitrick - Citigroup: Yes, hi guys, I noticed that you had a nice cash balance at the end of the quarter and just wanted to check and confirm that your revolving facility was still undrawn and ask if you had any plans to do anything with that facility in future, thanks.
Frank Sklarsky: I have no -- I don't have plans for any changes in that facility and that remains undrawn, given the cash balance and strong balance sheet, we don't have any draw in that currently.
William Deitrick - Citigroup: That's great, thank you.
Operator: And at this time, this does conclude our question-and-answer session. I would like to turn the call back over to Mr. Perez for any closing remarks.
Antonio Perez: Well, thank you for attending. Again, I feel this was a great quarter or a great year for us. One more year to go for restructuring, hopefully not a full year may be only nine months. And I am very excited with the new product introductions that we'll talk about on the 8th and the improvement in every single portfolio of the company, basically, that we've done this year. So I think we -- I feel more excited than ever with the possibilities of this company. Thank you very much.
Operator: This does conclude today's conference call. We appreciate your participation. You may disconnect at this time.